Kristian Johansen: Good morning, everyone, and welcome to TGS Q1 2024 Earnings Release. My name is Kristian Johansen. I'm the CEO of TGS. And with me today, I have Sven Borre Larsen, who's going to go through the financial section of the presentation and who is our CFO. I want to start referring to the forward-looking statements that you can read after this presentation and then I go straight to the Q1 highlights. We're very pleased about our Q1. When you look at the total revenues of the quarter, it may not look as impressive at the first sight. We're pretty much in line with where we were in Q1 of 2023. But when you dig deeper into the numbers, you see that the quality of our earnings is very strong this quarter. As an example of that, we had late sales of $72 million in Q1 that compares to $46 million in Q1 last year, so it's an increase of about 58%. We had early sales, so early sales of projects that are still in production of $78 million, and that's an early sales of 116%. When you compare the early sales revenues to last year, you see that they're down with $20 million. But keep in mind that last year, we invested far more. So we only had 73% early sales. So significantly higher cash flow from early sales that we had in the same quarter of last year and that's obviously great in terms of the quality of earnings of TGS this quarter. We had proprietary revenues of $78 million that compares to $86 million in Q1 last year, and that's pretty much as expected as we had a big contract with a super major in the same quarter of last year and the fact that Q1 is typically seasonally low for our acquisition activity. But overall, a very strong quarter and that also goes with the EBIT line. So we have $40 million of EBIT that compares to $25 million in Q1 of last year. We are very excited that we're getting closer to the closing date of the PGS transaction. We expect the closing to be on or around July 1 of this year. And of course, it's still subject to final regulatory clearance but I will come back to that later in the presentation. We strongly believe the cyclical upturn is still in progress and I'm very excited about our positioning relative to that cyclical upturn, which I think TGS has never been in better shape in terms of having an extremely diversified asset base and business structure, a business structure that is very different to what you've seen if you go back 3 or 4 years, but which makes us uniquely positioned to a continued upcycle in this industry. I'll run through the operational highlights, and then I will hand it over to Sven Borre who's going to go through the financials before I come back and cover the outlook. I think this slide shows the data acquisition activity in Q1 of 2024, but it actually shows much more than that. It shows a lot about the diversity of our business model now. And if you look at the yellow dots on the map, this is multi-client projects that we had in Q1, you see there's a lot of activity in Asia. And Asia is driven by countries such as Malaysia, Indonesia, India and Bangladesh. And the reason why you see a significant uptick in exploration activity in these countries is that they have this unique combination of high population, high population growth, and a very high percentage of import of energy. So these countries are extremely eager to find oil and gas in their own regions and obviously working very hard to do that. So that's why you will continue to see a lot of operations in Asia for the future and this does not only go with 2024, this is something you're going to see over the next decade or so. If you continue to look at and focus on the multi-client activity, you'll see we had a multiclient operation in Nigeria. It's another country where you see a significant uptick in activity right now. And then you see Brazil on the map, Brazil is obviously an area where TGS is very strong today. We will continue to be strong there, and you will see that TGS will carry out big multi-client projects in Brazil over the next few years. Then there is an onshore project in the Lower 48, and that summarized our multi-client activity for the quarter. In terms of OBN operations, the red dots, you see we had 3 operations in the U.S. Gulf of Mexico. U.S. Gulf of Mexico remains a very important market for TGS. But unlike 3 years ago, when it was purely a multi-client market for us, Gulf of Mexico is getting more mature, and you will see a lot of OBN activity in the region, and this is obviously the key reason or one of the key reasons why we did the acquisition of Magseis about a year and half ago. And then, last, but definitely not least, you see the green color, which is our DES operation and DES stands for Digital Energy Solutions, I would actually call it new energy solutions and renewable activities when you look at this map because this is related to mainly offshore wind operations, and you see quite a lot of activity in Norway. You see U.S. Gulf of Mexico, and you see the East Coast of the U.S. where we also have activity in that regard. So a very diversified business, a very different picture to what you would have seen from TGS only 2 years ago and something that makes us really excited about the future of the company, given a continued growth in all energy markets. And I think we can all agree that the world needs more energy, but it needs more of all energy resources, and that also includes a lot of oil and gas in the future. I'll go through some of the key highlights of projects that we carried out in the quarter and the first one is a project in Malaysia. So this is a Penyu Basin 3D that we did together with PGS and SLB. It's a big project, 7,800 square kilometers, and it's also in a partnership with the Malaysia Petroleum Management MPM and Petronas. So we're using the Ramform Sovereign vessel and this is mobilized utilizing, of course, the state-of-the-art GeoStreamer technology that clients in this region have a high demand for. This provides insight for upcoming Malaysian [indiscernible], and it also assesses carbon storage potential. So this is a great example of projects that we do for oil and gas, but we also do that for CCS, and it will be used for future CCS initiatives in Malaysia. And this is obviously an area where we see significant growth, and we see a great potential going forward in terms of vessel utilization, not only for the traditional oil and gas markets, but also for carbon capture and storage. Acquisition of this project is anticipated to complete in Q3 of 2024, and then we will have our final data by Q2 of 2025. Next one is an OBN acquisition contract that we announced quite recently. This is a 6-month plus contract. So it's got some optionality in it. It's a returning undisclosed clients in North America. Project is expected to commence in Q3 of 2024. And this survey is expected to deliver high-quality seismic data to drive decision-making for the clients who are behind this. It reinforces our position in North America. And as I said, Gulf of Mexico has really been the home turf of TGS. It's been a market that for decades have represented close to the majority of our earnings. And it's great to see now as the U.S. Gulf of Mexico matures, we see that we have more than traditional multi-client data. We have the underlying multi-client data, but then we acquired data on top of that. And if you're going to acquire the most modern and high-tech data in the U.S. Gulf of Mexico today, you will see that that's going to be carried out by ocean-bottom nodes and hopefully and likely by TGS. And then the last one is our multi-client wind and net ocean campaign that we're doing offshore Germany that we also announced, I guess earlier this week. As you see on the picture here, it utilizes what we call the LiDAR buoys, with additional wave and current sensors, reducing cost and timelines for offshore wind developers. Very similar business model to what we do in multiclient seismic. So instead of having a seismic vessel acquiring data, you have what we call a LiDAR buoy acquiring data. And obviously, it acquires different types of data because we look for wind and metocean data rather than seismic data. But the seismic data we already have in this area. So when you combine the seismic data and the subsurface data with a wind and metocean data, you get a pretty much complete data set that you can license to multiple operators in offshore wind. So it includes 12 months of metocean data. This LiDAR buoys is going to be out there for 24 months. It's going to be delivered through what we call the TGS wind AXIOM platform. It's a digital platform where you can find any kind of information you need, whether it's subsurface, whether it's wind data or whether it's other types of metocean data. And again, it demonstrates a commitment or TGS' commitment to the global offshore wind energy market. We think this market is going to continue to grow significantly in the future. And I was actually quite excited. I was watching that PGS earnings release this morning before this. And they talked a lot about how 3D is now becoming really important in terms of the offshore wind market. And obviously, they have vessels now that they're getting prepared to do offshore wind surveys. They have an ongoing survey as we speak. That vessel is going to move to Norway, and we have further surveys along the line. And I think if you combine that with what TGS is doing, which is more asset light on the LiDAR buoys side, you have a pretty unique data offering for offshore wind. And again, there's been a lot of talk about this industry. It had its peak about a year ago, and we've obviously seen some difficulties in terms of the wind operators. But what I can say is that the suppliers are still benefiting from a very high level of activity, and we think this market is going to be very important for the combined company going forward. Talking about that, a quick update on the PGS merger. Very pleased that we got the approval and the clearance from the Norwegian Competition Authority on the 17th of April. It was, in fact, slightly sooner than we expected. We were sitting there waiting for the 22nd of April. And in the middle of a town hall, a global town hall I did, we got the news that we have clearance from the Norwegian authorities. Of course, we were not too nervous about Norway, but we realized the fact that both companies have quite a lot of activity in Norway. So we expected Norway to take a very close look at this merger. The fact that they gave us clearance and they gave us clearance earlier than expected, we take that as very good news. We're still subject to the same type of approval by CNA in the U.K. So they initiated their Phase I on 12th of April, and then we expect or we know that the deadline for the Phase 1 decision is 11th of June. So that's when we expect to have approval from the U.K. authorities, and that means that we're planning for a merger on or around July 1, 2024. So that's a best estimate on the closing date for the transaction. Again, very excited about this. I could stand here and talk for hours about all the benefits we see with the integration and the merger with PGS. I'm not going to do that today, but I'm probably going to come back later this fall, probably at a Capital Markets Day and talk a lot about all the benefits that we see from merging these two companies. Very excited about the timeline. We're getting closer, and we are ready and July 1 is hopefully the date where we can announce this. So with that, I will hand it over to Sven who's going to go through the financials, and then I'll come back talking about the outlook. Thank you.
Sven Larsen: Thank you for that, Kristian. Good morning, everyone. As always, I'll start by going through the different revenue categories and explain a little bit about what has happened in that respect during the quarter. So starting with the early sales chart on the top left-hand side, you see that we had $78 million of early sales in the quarter. These are the sales of the surveys that are still in production. So they are not yet completed. And in the POC accounts, we recognize those revenues in accordance with the percentage of completion of the respective surveys. So as I said, this quarter, we had $78 million. This is compared to $98 million in the same quarter of last year. But as Kristian already mentioned, we had far higher multi-client investments last year. So this quarter, we had 116% early sales rate, whereas last year, we were at 73%. The high early sales rate is obviously a reflection of a high prefunding rate. So the commitments that we get prior to starting a project, but we also saw quite solid sales of surveys that are in progress, so projects that are close to completion. And those kind of sales are also booked in the early sales category. Then looking at late sales revenues, we had $72 million in this quarter. And as you can see from the chart, that's actually significantly higher than the $59 million that we had in Q4. And those that have followed us for a long time know that Q4 is high season for late sales. Unfortunately, we had a disappointing late sales in Q4 of '23. So I think this is the first time we've actually seen that Q1 late sales is significantly higher than the Q4 late sales. So we're really pleased that we see such a significant recovery. And hopefully, we can continue to show a higher run rate in late sales during 2024 than we did during 2023. Then looking at proprietary sales, as expected, due to the seasonality in our acquisition business, it was a lower number in Q1. We were down to $77 million, which is obviously lower than the preceding quarters and also a bit lower than the $86 million that we showed in the same quarter of last year. This gave us total revenues of $227 million, which is more or less on par with the $229 million that we had in the same quarter of last year but as I've gone through, the mix is quite different from what we saw last year with much more late sales and significantly less early sales and also proprietary sales. And then, we're looking at the same revenue, but by business unit instead of the type of category of sales, so we see the multi-client and imaging sales on the top left-hand chart, $146 million, so a little bit higher than the $138 million that we had last year. Digital Energy Solutions, $12 million, slightly up from what we saw last year or more or less the same level. But the mix here is that we saw a decline in sales of the digital geological products that also falls into this category, where we had a really strong Q1 of last year. So if you look at the renewable revenue streams, they were still significantly up year-on-year in this quarter. I think the growth was close to 30% in that renewable revenue stream. As I already alluded to, the acquisition revenue stream is lower in this quarter, largely as expected, $69 million. And also in external revenues, and as you can also see, we had quite limited revenue streams also from work that our acquisition group has done internally on behalf of our multi-client department. And as you've seen last year, we both had higher external revenues and also higher internal activity on the acquisition side. Then looking at our operating expenses, cost of sales, which is largely related to the acquisition contracts that we do on the OBN side, where $35 million in the quarter, it's up compared to Q4, and that was because we had some reversal effects in Q4. So it's not directly comparable, but it's significantly down compared to the same quarter of last year. This has to do, to some extent, with the IFRS 16 rules, which means that vessels that we have on longer-term leases, leases that extends above 12 months has to be accounted for as assets as we own. And you see that cost being charged to the depreciation line more than to the cost of sales line. I'm coming back to that, we have a page on that a bit later in the presentation, and I can explain more thoroughly what the impact of that is. On the personnel cost side, it's reasonably flat compared to what we've seen in the past few quarters. And then, although the bonus is a bit up, so we continue to show good cost control in that area. And I'm also happy to see that we're showing good cost control in the other operating costs area. This number includes roughly $2.8 million of transaction-related expenses, so lawyers and advisers and so on related to the PGS merger. So excluding that, you can see that we continued to show quite strong cost control. And this means that in combination with a better top-line and a favorable revenue mix, we have a strong EBITDA of $143 million in the quarter, which is to be compared with $119 million we showed in the same quarter of last year. Looking a bit on amortization and depreciation, our amortization, as you know, can be split into two parts. We have the straight-line amortization, which relates to all the completed surveys that we have in our data library. So at the point when the projects are completed, they are moved into the vintage library category, and we start up for most service of 4 lines straight or 4-year straight-line amortization. And then, we have the accelerated amortization or the POC accelerated amortization, which is normally mostly related to the early sales or the projects that we have in progress, although we sometimes when we have strong late sales can see some of it being associated to late sales as well. And this quarter, we had $41 million of straight-line amortization, and $32 million of accelerated amortization. So that totals $73 million, which is slightly below what we saw in the same quarter of last year, although we had higher multi-client revenues, which means that the profitability of our multi-client business improved quite significantly this quarter compared to the same quarter of last year. And then we have the depreciation line, $30 million in this quarter. Again, this includes the IFRS 16 depreciation on the vessels that we have on long-term leases. And as I said, I'm coming back to that. And also, you can see the high depreciation we had in Q4, which is associated to this reclassification that I mentioned earlier. All-in-all, this meant that we had our POC operating result of $40 million in this quarter, which is significantly above the $25 million we had in the same quarter of last year. I've already mentioned the fact that our multi-client investments were lower in this first quarter than in the first quarter of last year. We had $67 million of multi-client investments this quarter compared to $133 million last year. Early sales rate, however, was really strong, 116% compared to 73% in the same quarter of last year, which meant that the early sales were still lower than last year, but not as much lower as multi-client investments would initially indicate. In terms of the multi-client investments, as you've probably seen, we maintain our guidance of our full year multi-client investment in the range of 300 million to 350 million for the full year but it will be quite back-end loaded with most of it coming in the second half of the year. So for Q2, we expect even lower multi-client investments, it will probably be somewhere in the 50s or between $50 million and $60 million. And then looking a little bit to the cost of sales and IFRS depreciation so these 2 things needs to be seen in connection with each other. So we've listed here that in the past, up until Q3, we only had fairly stable IFRS 16 depreciation related to source vessels and node handling vessels that we have on long-term leases. It was fairly stable around $8 million to $9 million per quarter. But then we renewed and entered into some new leases, longer-term leases to secure capacity during Q4. And as you can see, the depreciation or the IFRS 16 depreciation increased significantly at that point in time. But what in reality it means is that you're basically moving costs from cost of sales to the depreciation line. So when you have a short-term lease, that lease will be charged to the cost of sales line. If you have a long-term lease, it will be moved to the IFRS 16 depreciation line or be reported as part of our depreciation. So that's important to bear in mind when you look at the profitability of our acquisition business and when you model the acquisition business. Going forward, we expect the depreciation to remain around or the IFRS 16 depreciation, the lease cost to remain around $18 million, $20 million per quarter. So it should be plus/minus 80 for a year, but with a correspondingly lower number on cost of sales. So it doesn't affect the total profitability, but it affects the different categories of cost. And then here, you can see the bridge of POC revenues to IFRS revenues which leads us to the IFRS profit and loss account. We had in the IFRS accounts, we recognize the early sales only when the projects are completed and delivered to the customers. And coincidentally, we had very few projects coming to completion during Q1. So it was a very low early sales number in the IFRS accounts of only $2.7 million. Late sales and proprietary sales are the same in the two accounts. So it meant that we had $152 million of revenues in our IFRS accounts in this quarter. These cash cost categories are the same. So we ended up with an EBITDA of $68 million in the quarter. And then the straight-line amortization is the same, whereas the accelerated amortization, as you can see is different from IFRS and POC. Impairments and other depreciation is the same, which means that in the IFRS accounts, we actually had a loss of $9.4 million on the operating result. Financial expenses were $4.3 million in the quarter. This partially reflects the fact that we drew on our RCF to replace to help PGS replace a senior secured loan that fell due in March. So we drew down on our RCF, and we lent the money to PGS, which then used that money to pay down their debt. So therefore, we have a little bit more interest charges in the quarter. And also this IFRS, the interest cost part of this IFRS 16 leases are charged to this line. So that's why you see expense that is higher than what you have seen normally. We also have an exchange loss in the quarter of $8 million. This is to a large extent, related to cash and asset positions that we have in other currencies than USD, but which is also matched with our future cost obligation, which is not on our balance sheet. So we have a natural hedge, but it doesn't show up in our P&L. So it shouldn't impact our position in reality, although it's charged to the P&L. This meant that we had a result before tax of $21 million. We had a tax cost, which was slightly lower than normal in the quarter, which gave us a net income of minus $17 million and an EPS of minus $0.13 in the quarter. If we had been looking at the POC accounts, we would have had a quite profitable quarter. Then to the balance sheet, let me first draw your attention to the fact that our net working capital has increased in the quarter, which means that it has affected our cash flow negatively. Furthermore, you'll see on the other current asset line which has increased to $157 million in this quarter, this includes this investment that we have done in the PGS loans. So that is roughly $60 million or $58 million to be more precise. And then you see a corresponding increase in other non-current liabilities where the debt that we drew down on the RCF is accounted for. And then looking at our cash flow, again, you see in cash flow from investing activities, you see that we have included this investment in the PGS loan, $58.2 and we have also included the drawdown in cash flow from financing activities. The net impact, obviously, on the net cash flow is zero. And as you can see, we had a negative cash flow of $32 million in the quarter after paying dividends of $18 million, and that is due to a quite negative impact from working capital movements in the quarter. And then the Board has resolved to pay a dividend of $0.14 in the quarter. The [actual] [ph] date is set to 16th of May and the payment date will be on the 3rd of June. With that, I hand the word back to you, Kristian.
Kristian Johansen: Thank you, Sven, and I'll cover the outlook over the next few minutes. So on the next slide, let me state a few obvious facts. I mean, number one, energy demand continues to grow. We can debate whether it's going to grow by 0.5% to 1.5%, but it's going to continue to grow. Second fact is that oil and gas represents about 54% of that energy mix today. Coal represents another 30% and offshore wind or onshore wind and solar represents in total, about 3% of that energy mix. So it's clear that we will need more energy from all different sources. And if you look at where we get, or if you look at the oil and gas supply today and you look at that historically, you can see this on the chart on the left-hand side. And going forward, we have 3 different scenarios in terms of demand. The most optimistic one is OPEC, which says that oil and gas or demand will continue to grow quite extensively going forward. Exxon is saying that it's going to grow, but it's going to grow at a slower rate. And then the IEA steps scenario, which is probably the most conservative scenario in terms of growth or, let's call it, the most aggressive scenario in terms of energy transition, says that it's going to continue to grow for another 5 years, and then it's going to gradually decline, but very slowly. You can hardly see any decline in that line. And then, if you look at supply, and this starts at 2023, you see that estimated production from currently producing fields is dropping sharply. And that means that it leaves a significant wide space or a significant gap that needs to be replaced by new exploration or putting already discovered oil and gas reserves into production. And there is a reason why it hasn't been put into production yet at an oil price of $85, it's because it's probably not in the right geographical areas or it may be non-economic to do so. So that's the basis of Vicki Hollub's statement, which says in the near term, the markets are not balanced. Supply demand is not balanced. 2025 and beyond is when the world is going to be short of oil. And 2025, that's next year. So we're getting pretty close to a point where you will kind of dig into this wide space, and you will have a problem to supply the world with energy that it needs. So I think this is a really good kind of back story to what I'm going to talk about later is where do we see exploration then? Because if you look at this, you would expect exploration to be booming today. That is not the fact. The fact is that exploration, if you look on the left-hand side and you look at the gray bars, yes, it's recovering from the trough in 2021. But if you look at the blue line there, you see that as a percentage of overall E&P spending, it actually continues to decline. And it's at a level now of about 10% of overall E&P spending is spent on exploration. The rule of thumb used to be that oil and gas companies or energy companies used 80% on production and 20% on exploration. Now it's 10:90 and that is not sustainable. So what do they do then? Well, if you move to the right-hand side, you see corporate M&A transactions in the E&P industry. It's never been higher than it was in 2023. So I think our clients agree with the first slide I showed you. But then in terms of sorting their issue, they do M&A or they do asset purchases instead of exploration. And you can only do that for a period of time. I think we can all agree on that. The second point is that they only sort their own problem. So they do M&A and they sort their own problem and their RRRs are higher than they used to be. But for the world's problem, it doesn't increase. It just changes the ownership of the assets. So there is a significant long-term pressure on the industry to do more exploration. And I think everybody agrees with this. I haven't met any client who disagree to these two slides. But again, the pace of the recovery is slower than most people would expect based on the first slide. But if you look at that and look at seismic, so there is growth. We've seen a pretty good as you saw, we had a really good Q1. 2023 was a quite decent year for the industry. If you look at the split between multi-client, contract streamer and contract OBM and you look at 2023 compared to 2021, there is a significant recovery there. No question about that. But again, what I'm questioning is whether this is fast enough, whether we recover fast enough? If you look at 2023 and you compare to where we were back in 2020 or 2013, so 10 years ago, we're about 45% in terms of exploration activity or seismic activity compared to 2013. And I don't expect that we're going to get back to 2013 levels, but we expect that we're definitely going to continue to grow from the level you saw in 2023. And we expect 2024 to be the first year where you see growth in this market or the next year where you see growth in this market. If you look at the composition, you see multi-client is pretty much flat in '23 over '22. You see contract streamer are about the same, but you see contract streamer being significantly more activity than a few years back. So the blue shade here is definitely growing as a percent of total. And then you see significant growth in the OBN market, and we continue to see that going forward as well. So again, we think all three segments are going to grow in the future. We're not sure about when and when you're going to see a significant recovery, but we feel pretty certain that this market is going to continue to develop in a very healthy fashion. And the main reason for that is obviously the previous two slides that I showed you. So let's look at our own plans for acquisition. As we said previously, we had slightly lower revenues than we had in Q1 of last year. And the reason you can see here, you see one crew that had no work for Q1. That was part of our plan. That crew is going to work in Europe for the summer season, and it's a kind of a seasonal or a summer season crew, I would say. But then you see there's also some wide space on the OBN crew 1 at the top there. But then you see that for Q2, we pretty much have work for all 4 crews and then the reservoir monitoring crews are fully booked for the entire season on a long-term contract. So again, I think the bid or tender activity right now is really high. I'm very optimistic on the future of our OBN business. What I can say is that we're far ahead of our own plans. 2023 was a fantastic year, I think 2024 is going to be a really good year also for the acquisition business. So overall, I feel good about this. When we look into Q4, there is definitely some white space. But what I can say now is that the bidding team of former Magseis and now TGS acquisition has probably never been more busy than they have been over the past few weeks or last month. So overall, that looks pretty good. If you look at the POC contract backlog and inflow, it kind of shows a similar picture, relatively low contract inflow in Q1. And you see, as a result, the backlog of our acquisition business is about $271 million, and then we have close to $200 million of multi-client backlog, so lower than the previous 2 quarters. But if you look on the right-hand side, you see that right now, as of today, we actually have acquisition backlog of $360 million. It's actually increased by almost $100 million since the last day of the quarter. So again, it really proves my point that we see very high activity on the OBN side in terms of tender activity. Some of that has already been won in April, as you see from this slide. The pie chart also shows the timing of expected recognition of this backlog, and then it can help you update your models in terms of our revenues going forward for the OBN business. Last but not least, the summary. So again, we had revenues of $227 million compared to $229 million in Q1 of 2023. Very high early sales, 116%. So basically, we are cash breakeven and more than cash breakeven on all our ongoing projects before they're even completed. So that's a very good, probably the highest early sales rate that we've seen in TGS as far as I can remember for sure. Very strong development in multi-client late sales, up 58% year-over-year. We have an EBIT of $40 million compared to $25 million in Q1 of 2023. And transaction is expected to close on or around July 1 and still subject to final regulatory clearance in the U.K., but Norway has already been closed out. And again, we continue to be optimistic about the cyclical upturn that is in progress. And I can't say how excited I am about our own position to capture the benefits of that up cycle. So with that, I want to thank you very much for your attention. I want to bring up Sven here, and Sven is going to read some questions from the web. And obviously, we're going to take questions from the room and go on from there. Thank you very much.
A - Sven Larsen: There is a question asking [Norwegian] [ph], but it's about whether we see a combination of dividends and share buybacks going forward or how the shareholder return strategy of the company will be?
Kristian Johansen: I think we will have to come back to that. And again, we're probably going to have a Capital Markets Day after the closing of the transaction and make sure that we communicate the strategy of the new company going forward, but also the capital strategy, [indiscernible] will obviously come back.
Sven Larsen: There's a question from [indiscernible] of Arctic Securities. What is your take on the order inflow, which was roughly a $100 million lower compared to Q1 '23, and any specific projects explaining the delta?
Kristian Johansen: I think that was what I explained on the previous slide is that we've seen. Sometimes you get the signature on the 30th or the second of a new quarter and it makes a big difference for that quarter. But I think we're very pleased about the backlog of our acquisition business as of today. We see no decline or overall trend of decline. I would rather say the opposite.
Sven Larsen: And then, there is a question about the working capital, how we expect that to develop going forward? What I can say is that it's always a bit hard to predict very precisely. But what I can say is that we do not expect a very positive working capital development in Q2. So you'll see the more positive impact from working capital in the second half of the year rather than in Q2. Yes. And also Christopher has a question about the backlog. I think we have answered that already. There is a question. Will you help PGS to pay their €75 million loan, which they can pay in June? And yes, sure, we will pay all the loans that we need to pay at closing. Some of the loans are falling due on change of control, and we will have to pay down those loans at that stage. And I think that's it in terms of questions on the web.
Kristian Johansen: Any questions from the room? No questions from the room. So with that, I would summarize this earnings release presentation and say thank you very much for your attention. I will also say we're excited to get closer to the closing date. We're planning based on July 1. Looking forward to get this done, looking forward to continue to communicate the equity story with you in the future. I guess the next occasion will be our Q2 presentation. But then after that, as I said, we're probably going to have our Capital Markets Day. We will come back with that probably later this fall and very excited to get it done, very excited, we've been doing a lot of planning since September last year, and we're ready to execute now and it's going to be super, super exciting. So very, very good. Thank you very much.